Operator: Good morning, ladies and gentlemen, and welcome to the XPEL Incorporated Second Quarter 2022 Earnings Call. [Operator Instructions].  It is now my pleasure to turn the call over to your host, Mr. John Nesbett, Investor Relations for XPEL. John, over to you.
John Nesbett : Good morning, and welcome to our conference call to discuss XPEL's financial results for the 2022 second quarter. On the call today, Ryan Pape, XPEL's President and Chief Executive Officer; and Barry Wood, XPEL's Senior Vice President and Chief Financial Officer, will provide an overview of the business operations and review the company's financial results. Immediately after the prepared comments, we will take questions from our call participants. Let me take a moment to read the safe harbor statement.  During the course of this call, we will make certain forward-looking statements regarding XPEL, Inc. and its business, which may include, but are not limited to, anticipated use of proceeds from capital transactions, expansion into new markets and execution of the company's growth strategy. Often, but not always, forward-looking statements can be identified by the use of words such as plans, is expected, expects, scheduled, intends, contemplates, anticipates, believes, proposes or variations, including negative variations of such words and phrases or state that certain actions, events or results may, could, would, might or will be taken, occur or be achieved. Such statements are based on the current expectations of management of XPEL.  The forward-looking events and circumstances discussed in this call may not occur by certain specified dates or at all and could differ materially as a result of known and unknown risk factors and uncertainties affecting the company, performance and acceptance of the company's products, economic factors, competition, the equity markets generally and many other factors beyond the control of XPEL. Although XPEL's attempted to identify important factors that could cause actual actions, events or results to differ materially from those described in forward-looking statements, there may be other factors that could cause actions, events or results to differ from those anticipated, estimated or intended. No forward-looking statement can be guaranteed. Except as required by acceptable securities laws, forward-looking statements speak only as of the date on which they are made and XPEL takes no obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or otherwise.  Okay. With that, I will now turn the call over to Ryan. Go ahead, Ryan.
Ryan Pape : Thanks, John, and good morning, everyone. Welcome to the second quarter 2022 call as well. We had a very strong quarter, highlighted by our record revenue, gross margin and EBITDA performance. Revenue for the quarter grew 22% to $83.9 million. It was an outstanding result when you consider the poor but not unexpected Q2 new car SAAR in the U.S., the lockdowns in China that occurred in Shanghai area. And then -- more broadly speaking, FX impact to the business from the strengthening dollar.  And we had strong performance across most of our regions, certainly evident in our U.S. region, which grew 43.4% to a record $49.2 million in the quarter. We did see some volume pickup in our dealership services business. So that's off of lows that we've seen on modestly higher new car inventory, but we're still operating at less than 2/3 capacity, as has been the case for the past several quarters. Most of our company-owned facilities continue to experience strong demand, which generally means our aftermarket customers are also continuing to see strong demand in their shops.  Looking outside the U.S., record revenue in Canada, Europe, U.K. and Latin America still see strong demand in Canada in one of our most mature markets, but proving there's still room to grow there. Europe continues to perform even in the face of the negative FX impact to revenue and margin, resulting from the strengthening U.S. dollar, particularly against the euro and the pound, not so much against the Canadian dollar unlike in the past. So that's helped us there.  Looking at our results on a constant currency basis. Measuring rates as of Q2 2021, revenue was negatively impacted by approximately $1.7 million, and margin was negatively impacted by approximately $400,000 for the quarter. And we expect worse FX impact to revenue, gross margin in Q3 for sure, just with the way rates have moved, and then one would assume in Q4 as well.  As we discussed on last quarter's call, we were expecting our Q2 China sales to be reduced by approximately $5 million due to the COVID-related lockdown situation in the region and in Shanghai in particular. And we saw just right around that, just under $5 million actual reduction from the original plan. China new car sales were down in the first part of the quarter and then began to rebound in June.  Unfortunately, our performance in other regions, particularly in the U.S. offset the shortfall relative to our plan. We think Q2 should be the bottom for China and expect run rates in Q3 and Q4 to start to trend back up to higher levels. But overall, I think China is a weak spot in the demand picture at the moment. Just as it continues to have uncertainty going forward with the unpredictable impact of the COVID mitigation strategy. So with the impact of China and then the currency, U.S. dollar strength, we saw almost $6.5 million worth of negative impact to our overall revenue plan. So absent those impacts, revenue growth would have been a little over 31% year-over-year.  We had good gross margin performance for the quarter, and we continue to make great progress on our initiatives in this area, and we finished the quarter at 39.3%, great result. It's even more impressive when you consider what we just talked about, strengthening U.S. dollar puts pressure on gross margin with U.S. dollar-denominated product cost everywhere we sell. And the quarter gross margin was negatively impacted by about $400,000.  So we do get a slight mix benefit to our gross margin percentage when China represents a lower percentage of revenue as it did in the quarter. So that helped us a little bit. But with the distribution market like China, we get no help from an operating standpoint, no SG&A cost savings. So overall, it's certainly a net negative any time your revenue is down.  Overall, improvements to gross margin are consistent with the strategy that we've been talking about. And even with sort of all of the noise there, we remain very confident in our ability to reach a 40% gross margin run rate exiting the year. Obviously, you see we're very close there for Q2, but we get the mix benefit with China. China should represent an increased percentage of sales, but we still should be able to make that up in the second half of the year. We had no material pricing changes in the first half of the year. So margin and revenue performance is not being driven by pricing. I think a very common question in the current environment. However, we are currently evaluating the second half with respect to pricing, looking at how costs are trending. Obviously, we're not -- even with a good gross margin improvement program we have, we're not immune to the trajectory of cost that everyone is seeing overall. And so we will be making decisions on that in the second half of the year.  Another big highlight for the quarter reached the highest EBITDA margin in our history, 20.5%, first quarter that we've ever exceeded 20% EBITDA margin. And like we talked about in the other comments, we achieved this result despite encountering approximately $2 million in EBITDA headwinds related to the China lockdowns and the strength of U.S. dollar over the prior year. So you consider that, if those 2 things hadn't occurred, our EBITDA margin for the quarter would have approached 22%. So it would have been even better. So all the way around, I think it's consistent with what we've been saying. The business continues to grow revenue. We work our gross margin plan to completion and then manage expenses, which are still trending a little bit higher on a percentage of revenue basis than we'd like, but you put it together and you can drive operating performance in this business, and we are and we expect to continue to do so.  We're estimating 2022 annual revenue growth to be in the 25% to 28% range. This is a little less than our previous guidance of 30%, mainly due to China impact in the first half, slower recovery of China in the second and then strengthening U.S. dollar as we've talked about. But it will be a good result and demand has remained strong. July was an exceptional month and August is proving to be no exception so far. So we feel very good about that.  That said, manufacturers have been more bullish in their expectations for new car production recovery in the second half. So this is a potential upside benefit for us. And we've heard that before, but there seems to be room for some optimism that we believe were set to benefit as this occurs. And if you look at the comments from the manufacturers, I'd say they've incrementally become more positive about the production recovery and the concept that there's pent-up demand on our new car buyers in the channel, which we believe.  So we expect revenue for Q3 in the $85 million range, plus or minus, which represents improvement in China and increased headwinds from continuing strong U.S. dollar. Q2 and Q3 tend to be pretty similar quarters with some takes and puts between them. Q3 picks up Europe holiday season, Europe OEM plant shutdown for sort of the same reason is now a factor for us in terms of revenue. And it's also our greatest time of the year for marketing events, which drives SG&A. But overall, very -- tend to be very similar quarters.  Last year, we saw our highest EBITDA in Q2 and then sequential declines in Q3 and Q4. And we talked about quarterly impacts during Q3 and Q4 last year. But absent those type of things happening or other one-offs, there's nothing sort of structurally different about Q3 or Q4 versus Q2. So in other words, there's no reason that Q2 should year after year outperform Q3 from an operating standpoint or even outperform Q4. So it's really just dependent on what happens in the quarter.  From the product side, window film business continues to do great, grew 42% for the quarter up to $60 million, sequentially was up just about 37%, so almost 19% of revenue for the quarter. Architectural film business makes up about 10% of that. We're about 2% of total sales. So still small, but growing, and we're seeing really good year-over-year growth each month this year as we continue to execute the strategy there and expect that to continue to grow as a percentage of sales and a percentage of window film business overall.  Last month, we announced our partnership with Rivian, electric vehicle manufacturer to be the exclusive supplier of their factory direct paint protection film program. It's obviously a great addition to our overall OEM program development and a great way to increase awareness of paint protection film in general. And the program will begin by the end of the year. Rivian is really excited to promote paint protection film.  We just completed a joint marketing campaign to raise awareness of paint protection film among those that have already taken possession of their Rivian vehicles and to drive them to our local installers to have installations done on those vehicles that have been delivered. It's been quite successful with a very high interest rate when looking at the number of vehicles delivered. And I think an example of sort of what's possible with some of the go-to-market from these new manufacturers who have even more direct connection to their customers. So it should be a good program there.  I want to give a quick update on inventory. We've talked about this for a few quarters. We finished the quarter approximately $74 million in inventory, which is relatively flat to Q1. So we expect the inventory to peak within a few million dollars of where we are, plus or minus, or I guess it would not be minus but plus, between now and early Q4, which is probably a little bit later than our previous estimate. But regardless we remain well positioned to mitigate any of the supply chain risks, and we've really seen the bulk of that inventory build. So that's a substantial departure just as a reminder, from the first half of this year where we used almost $23 million in cash, almost $23 million of cash to build inventory.  So that inventory build has effectively stopped and then we will begin to release some cash from inventory, but that's just probably pushed back a little bit further in the year. Still intend to use our cash flow on acquisitions. As we talked about before, we took the first part of this year to finalize the integration of everything that we had done last year and reassess our strategy and program and go forward. We did complete a small acquisition of the software business at the beginning of Q3, which we'll integrate into our DAP platform. We've discussed previously that we've got a desire, an ongoing program to really invest in the software offering and build the best platform we can for our customers to use to run their business, and this will be part of that. We're active in acquisition pipeline overall, as I mentioned. And this is domestic and international. This includes international distribution, where we want to get close to the customer, same things we talked about previously. And obviously, looking at that now, you've got a dislocation in terms of currency. So there's opportunity in currencies that weakened relative to the dollar. Certainly, we'll be taking a look at that as well. So overall, a great quarter. I couldn't be more proud of the team, really executing exceptionally well.  And with that, we'll turn it over to Barry, and then take some questions. Go ahead, Barry.
Barry Wood : Thanks, Ryan, and good morning, everyone. I'm going to just a little deeper into our overall revenue performance. Product revenue in the quarter grew approximately 14.3% to $67 million and grew 20.8% to $125 million on a year-to-date basis. Our service revenue in the quarter grew 67.3% to $16.9 million and represented 20.1% of our total revenue. And as in the prior quarter, this growth was driven by increased demand in our company-owned facilities that Ryan was talking about and acquisition-related labor revenue from our dealership services businesses.  On a year-to-date basis, total service revenue grew 80.1% to $30.6 million. And keep in mind that sometimes our product revenue is converted to service revenue when we do these acquisitions, such as PermaPlate and Tint Net. So what was pre-acquisition was product revenue, post-acquisition is now service revenue. So this certainly impacts the growth rate in the service category as well.  Total installation revenue, combining product and labor, increased a little over 106% and represented 15.7% of total revenue. This increase was due again to both acquired dealership services businesses in 2021 and the continuing strong demand in our company-owned installation centers. And overall, our total revenue was up 16.7% sequentially versus Q1.  And again, as Ryan mentioned, we were pleased to see gross margin coming in at 39.3% for the quarter. Sequentially, gross margin was up 19% from Q1, and our year-to-date gross margin finished at 39%. Our Q2 SG&A expenses grew 37% versus Q2 2021 to $17.3 million and represented 20.5% of total revenue.  And for the first half of the year, total SG&A expenses were up a little over 56% and represented 22.4% of total revenue. And part of this quarter-over-quarter growth is due to increases in travel-related expenses, as our team has returned to conducting more in-person meetings and providing more outbound training and holding more marketing events. And we think this is important after the last 2 years of limited in-person contact, and we're actually happy to see these expenses increase as we think we get great returns on that investment for sure.  Sequentially, SG&A expenses were down approximately 2.5% versus Q1, but we did have some one-timers in Q1 related to our dealer conference. So if you normalize for that, SG&A expenses would have been essentially flat sequentially. And this nicely plays into our bottom line performance. Q2 2022 EBITDA increased 26.6% versus the prior year quarter to approximately $17.2 million, which again was a record for the company. And on a sequential basis, EBITDA increased 44.9%.  And as I mentioned before, our sequential revenue increase was 16%, so we saw some great leverage quarter-to-quarter. And as Ryan mentioned, we achieved these results despite China headwinds and the challenges related to the strengthening U.S. dollar. So if you normalize for all that, Q2 EBITDA would have grown a little over 40% versus Q2 2021. And on a year-to-date basis, our EBITDA grew 27.8%. Q2 2022 net income increased 16.8% versus Q2 2021 to $11.9 million, which reflects a net income margin of 14.2%. Net EPS for the quarter was $0.43 per share.  Our EBITDA grew faster than net income in the quarter as we incurred new amortization related to 2021 acquisitions that we still need to earn through as we roll forward. And also, obviously, we had additional interest expense on our debt that we incurred to fund our inventory build. So normalizing just for the FX impact, net income would have grown a little over 21%. And on a sequential basis, net income grew 52.5% versus Q1. On a year-to-date basis, net income grew 15.7%, and our year-to-date net income margin was 12.7%. And our year-to-date EPS share -- EPS is $0.21 per share.  Cash flow from ops for the quarter was $1.8 million as we returned back to generating cash as our inventory build moderated. And we expect this trend to continue as we monetize our built-up inventory in the coming quarters. Our debt level also moderated during the quarter. And our debt level could go up or down in future quarters, depending on the excess cash that we generate and the timing of any future acquisitions. But regardless, we are very well positioned financially to execute on our plan. So actually we're very pleased with the quarter, and we're excited about the rest of the year.  With that, operator, we'll now open the call for questions.
Operator: [Operator Instructions] Your first question is coming from Steve Dyer from Craig-Hallum.
Steve Dyer: Thanks. Another great quarter guys, congratulations.
Ryan Pape: Thanks, Steve?
Steve Dyer: When you look at how much you're outgrowing new car sales, particularly in the U.S., I mean, could you sort of break down the biggest drivers, whether it's sort of attach rates or the amount of film going on for vehicle. It doesn't sound like price increases has much to do with that, but sort of what would you attribute it to?
Ryan Pape: Yes. I think it's multiple things. Clearly, attach rate for paint protection film is increasing, has been increasing, and we think we'll continue to increase. Within the paint protection film business, the trend over time has been more product per vehicle on average. So you used to cover a smaller portion of the cars in aggregate, and that's grown over time and probably continues to grow.  Then we have additional products that are allowing us the opportunity for more content per vehicle, be they starting with coatings and the window film products where we're able to take market share in some of those cases, particularly in the window film business where it's a more established business. So taking market share into a larger established, slower-growing business, that lets us outearn and outcompete there.  And then I think to the extent that we're in the service business, increasingly via acquisition and other things, that has the ability to drive dollar content and dollar-denominated growth in excess of what you would get just for the product sale, just simply because the service is priced so much higher than just the product. So I think it's really all 4 of those things contributing to that.
Steve Dyer: Got it. As you look at kind of the dealer base, I guess, first of all, could you remind us sort of how many franchise dealers are selling your PPF. And secondly, what do you think is sort of the realistic opportunity there? I'm kind of thinking about is there a competitor share you can gain or other dealers that don't sell anybody's PPF going forward?
Ryan Pape: Yes. I mean it's a little bit challenging to determine the number of new car dealerships we reach directly and then through our whole network. And then what does it mean to reach? Is it touching 1 car month, or is it touching 100% of the units sold monthly. But that -- we have some connectivity directly and indirectly into several thousand new car dealerships in the U.S. But I think that there's tremendous opportunity to grow the number of dealerships offering paint protection. And that doesn't mean that we need to sell to them. We will and we might, but also through our after-market channel.  There are the huge labor force for the new car dealerships. And I think you will find many, many dealerships that don't offer paint protection. And then you'll find many that offer it, but do it when asked or do it on occasion. And the opportunity is to obviously offer it if you're not, and then offer it with greater conviction and much greater unit volume, much greater attachment to units sold. So there's really a long way to go there. And we've seen success doing that at many different price points. When you get the dealers involved, and it's not as driven by the enthusiast buyer who's conventionally about the product in the aftermarket, you can get attachment into a much broader range of vehicles, and we think that that's really important to do.
Steve Dyer: Yes. I was going to ask, I mean, I bought a vehicle this quarter -- during the quarter and ironically or maybe not so ironically, it came about half of the vehicle's already sort of preloaded with XPEL. And I was just kind of wondering, is that a trend you're seeing? Is that an incentive that you're providing? Or is that sort of strictly dealers looking for margin enhancements and just sort of preloading it on and basically making people say they don't want it, which rarely happens. What -- is that sort of a trend you're seeing?
Ryan Pape: Yes. I think you are seeing more paint protection film preloaded on the lot. The -- when you look at the environment we're in with the shortage of new car inventory, we talk a lot about the takes and puts that occur in that environment. One is that dealers having an opportunity to do more preloading and do that sort of upfront accessorization, so that might be what you're seeing.  But we do see more of that occurring. And yes, it's typically, ultimately motivated by the dealer's profit motive like anything that they would sell. But -- what our job is, is to help educate the dealers that paint protection film is in fact, a better alternative, in our view, than many of the other things that they sell or preload. There's a lot of warranty and finance products that we don't think offer quite as much value to the consumer as paint protection film.  And from a dealership standpoint, those are cancelable products. You can leave a lot and cancel it and hard add like a paint protection film that's actually on the car, that stays. So there's a lot of opportunity there. I think the point that may not be obvious to everyone is that we're not telling the dealerships anything they don't already know that they can make money by doing other things and selling the car. They obviously know that. What our job is and what we're doing and we'll continue to do is to say, the paint protection film is a product that customers love, those that buy at once are incredibly likely to buy it again. And it's a real tangible product with demonstrable value, and therefore, it's a better thing to sell with these new cars than maybe some of the other things you're offering.
Steve Dyer: Got it. And then I guess, lastly for me, speaking of sort of pre-loading. Would you anticipate your deal with Rivian is going to be sort of one of the only OEM ones you do? Or do you feel like there's a big opportunity there going forward?
Ryan Pape: Yes, sure, Steve. Yes, there remains opportunity with OEM. And what the OEM channel has the ability to do is to reach buyers today that we wouldn't reach in many cases, any other way either because the dealers aren't offering it or the customer is not aware of it. So especially in Rivian's case, they've been very forward in terms of marketing it, talking about it, branding it as XPEL. So I think they've done themselves serviced by doing that, and they've done the broader business of paint protection film service by introducing it to a lot of people that didn't know about it. And so I think there's plenty of opportunity to expand upon that when you're looking at this still small attach rating to the total new car sales and looking at ways to grow that. So this would be not the last one of those to look at doing.
Steve Dyer: I guess as a quick add on to that then, would you have to typically do that with a manufacturer that doesn't sell through the dealer channel just given sort of the conflicts there?
Ryan Pape: No. There's opportunity for both. I think when you look at Rivian with an alternative channel, it's allowed them to engage in marketing activities and whatnot direct to the consumer because they're that much closer to them. But we have other examples now in the OEM channel, where we have a product being installed and sold through the dealers. And there's, again, a benefit to the dealer, too. It's another margin opportunity for them just as it is to OEM. So it seems equally compatible sort of irrespective of the new car channel.
Operator: [Operator Instructions] Next question is coming from Jeff Van Sinderen from B. Riley.
Jeff Van Sinderen: Let me add my congratulations on the strong Q metrics. Sounds like there's some encouraging signs in OEM production rates. But can you speak a little bit more about what you're hearing from the dealers, from the OEMs around the inventory outlook and flow that they're expecting as we're thinking about second half?
Ryan Pape: Sure, Jeff. Yes, I think we -- you have kind of a couple of data points you have, what do the OEMs talk about publicly and what does that mean in aggregate. And then what feedback do we get from all the dealerships that we see and the feedback is literally down to when are the trucks delivered and do the car show up. And those, I would say, haven't necessarily run together in -- over the past 3 quarters. Now it seems like maybe they're coming in to alignment a little bit more where we have reports from dealerships getting sort of increased fill rates, increased delivery rates and that seems to tie a little bit more into what you hear the manufacturers talk about. So if you went back to last year, our expectation was that Q2 would see a meaningful improvement in the overall inventory situation. And while I think the inventory ticked up off of the lows for Q2, no one would probably call out a meaningful recovery. But it does seem now that there's kind of room for optimism there for the rest of the year, both by what we're seeing even in fits and starts at the dealership level and then matching that with the OEM's public comments. I think there will be improvement in that throughout the rest of the year. It seems pretty certain.
Jeff Van Sinderen: Okay, good. But it seems like that's probably a multi-quarter thing, right? I mean we're not going to get back to normalized inventory by end of this calendar year.
Ryan Pape: Make sure that's -- yes, yes, absolutely.
Jeff Van Sinderen: Okay. So we've got some runway there. So still, you're running -- I think you said less than 2/3 capacity in dealer services. I guess my question there, anticipating more inventory to come in, probably no change you need to make there. Or I guess how are you thinking about kind of getting capacity or getting -- utilizing more of that capacity?
Ryan Pape: Yes. Well, I think the question was even a few quarters ago, did we expect that the inventory to recover such that we could maintain that capacity, and we were pretty adamant that we believed it would and that we wanted to do that. So the first order of business, hopefully, as that inventory recovers as we use more of the capacity that we have and that is accretive to gross margin. There's some fixed costs there that we can just earn through by doing that. So our plan would be to stay the course and then ideally benefit from that in that segment as inventory recovers.
Jeff Van Sinderen: Okay. Good. And then we're just curious on the software that you acquired that I think you said you are melding into the DAP software platform. Maybe you could just touch on what that is. Just curious on that. And then also, any other components in that vein that you might want to layer in that you would acquire?
Ryan Pape: Any more -- what was the second part of the question, Jeff, any more components in what?
Jeff Van Sinderen: Yes, I'm just curious Yes. I was just wondering if there are other components like you or that you might want to acquire as well? Or if you feel like you that everything you need done now?
Ryan Pape: Yes. So we're not quite ready to talk about what we bought and how it integrates in the DAP. Probably need a little bit more time to advance that. But I do think that, that's something that we are looking at and open to as a way to build out that platform. We look at the market that we're in and the customers we have as being technology start in many ways. And we know this is true even when looking at our own operation and where our own operation is strong and weak and where we need things.  So there's a lot of benefit that we can bring. And most of that will be from our internal efforts and the team we have and the team we're growing here. But like we did with that, a little tuck-in there, and there's probably some other opportunities for that, certainly ones we would consider going forward.
Operator: Okay. There appears to be no further questions in the queue. I will now hand back over to the management for any closing remarks.
Ryan Pape : Thanks, everyone, and thanks to the XPEL team for doing a great job and looking forward to speaking to everybody in the future. Have a great day.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.